Operator: Good day. And welcome to Camden National Corporation's Third Quarter 2024 Earnings Conference Call. My name is Lydia, and I will be your operator for today's call [Operator Instructions]. I'll now turn the call over to Renée Smyth, Executive Vice President, Chief Experience and Marketing Officer.
Renée Smyth: Thank you, Lydia. Good afternoon. And welcome to Camden National Corporation's conference call for the third quarter of 2024. Joining us this afternoon are members of Camden National Corporation's executive team, Simon Griffiths, President and Chief Executive Officer; and Mike Archer, Executive Vice President, Chief Financial Officer. Please note that, today's presentation contains forward-looking statements and actual results could differ materially from what is discussed on today's call. Cautionary language regarding these forward-looking statements is contained in our third quarter 2024 earnings release issued this morning and in other reports we file with the SEC. All of these materials and public filings are available on our Investor Relations website at camdennational.bank. Camden National Corporation trades on the NASDAQ under the symbol CAC. In addition, today's presentation includes discussions of non-GAAP financial measures. Any references to non-GAAP financial measures are intended to provide meaningful insights and are reconciled with GAAP in our earnings release, which is also available on our Investor Relations Web site. I am pleased to introduce Camden National Corporation's host, President and Chief Executive Officer, Simon Griffiths.
Simon Griffiths: Thank you, Renée. Good afternoon, everyone. We appreciate you joining our call today. I'll provide a few comments on our most recent quarter and then turn it over to Mike to discuss our third quarter financial performance. We will then open up the call for Q&A. The third quarter marked a significant event for Camden National as we announced on September 10th, we would acquire Northway Financial, a strong community bank franchise in New Hampshire. The combination provides Camden National unique opportunity to strengthen its competitive position and build market share in Northern New England in a high growth contiguous market. We have filed all the bank regulatory applications for approvals required for the merger, which we expect to be completed in the first quarter of 2025. Both Camden National and Northway teams are highly engaged in planning the integration of our companies and preparing for a seamless transition for customers and employees. As we dive deep into our preparation, we remain convinced that this merger represents a rare opportunity to combine two high quality and culturally aligned franchises to build a premier Northern New England Bank. In the midst of this significant transaction, we produced strong operating results during the third quarter. Earlier this morning, we reported net income of $13.1 million or $0.90 diluted earnings per share for the third quarter of 2024, an increase of 9% and 11% respectively over the second quarter of 2024. Excluding the merger and acquisition costs incurred through September 30, 2024, on a non-GAAP basis, net income for the third quarter of 2024 was $13.6 million and EPS was $0.94, an increase of 14% and 16% respectively over the second quarter of 2024. Our strong third quarter financial performance is highlighted by a 10 basis point increase in net interest margin over the previous quarter, disciplined expense management with continued franchise investment and strong asset quality, which are the hallmarks of Camden National. These results demonstrate the strength of our franchise and we believe they also represent critical momentum in improving operating environment as short term interest rates are forecasted to drive lower over the coming quarters. In September, our team swiftly adjusted our rate book and developed proactive strategies to preserve and enhance our solid customer base during the downward changing rate environment. We proactively responded to Fed funds rate cut in mid-September through both front and back book pricing changes. Our strong customer relationships continue to serve us well with a 1% increase in deposits compared to the previous quarter. We continue to see a strong commercial pipeline and welcome two strategic commercial lenders in New Hampshire and one in the Lewiston-Auburn market to expand our presence in these high growth markets. As we actively seek new commercial customers, we remain committed to our prudent customer due diligence and a disciplined pricing strategy to maintain our risk management approach. We continue to make strategic investments in our business while managing operating expenses and driving positive operating leverage. During the third quarter of 2024, our revenues increased 5% over the previous quarter and non-interest expense increased modestly by 3% when excluding M&A expenses. Non-interest income for the third quarter increased 7% over the previous quarter and we benefited from seasonal mortgage activity, lower interest rates, which drove increased activity and greater salable business into the secondary markets. Our asset quality remains strong as of September 30th. We continue to monitor our loan portfolio actively and to-date, we have not seen any signs of credit deterioration across any pockets or industries. Our lending and credit teams work to proactively manage any loan at the first sign of any challenge. This proactive approach has served and continues to serve us and our customers well. On September 30, 2024, past due loans were just 3 basis points of total loans, down from five basis points the last quarter and non-performing loans were 17 basis points of loans, down from 23 basis points at June 30th. While asset quality remains strong across the board, we maintained an allowance for losses of 0.86% of total loans at September 30, 2024 consistent with the previous quarter. We continue to believe this reserve level is appropriate as we balance current macroeconomic conditions, the forecasted path ahead and our current asset quality metrics. The strategic transformation of our account opening process is on track and scheduled for a year end launch. We have successfully completed development and are at the midst of full end-to-end testing. This will allow complete accounts opening and funding within minutes from mobile and online devices, and is a first step towards enhancing our deposit account opening process across all channels. Our customers will be able to experience the convenience of our digital experience with the security and ease of human backed service excellence. As I laid out, we continue to lean into our strengths, including exceptional talent, execution capabilities and risk management expertise. This allows us to serve our customers effectively against a complex backdrop and deliver key results for our shareholders. Looking ahead, we are very excited about the future opportunities as we merge with Northway to enhance our market position and increase our scale and capabilities. We are confident the combined entity will provide meaningful value creation for shareholders and strong pro forma profitability. Our expanded customer base will benefit from our strategic technology investments, business diversification and larger balance sheet, which we believe will provide a more robust platform for future earnings growth. We look forward to providing you with additional details as we move through the regulatory approval process and closing. Now, Mike will provide more details about our financial results.
Mike Archer: Thank you, Simon. And good afternoon, everyone. This morning, we reported an increase in net income for the third quarter of 9% over last quarter. Adjusting for merger related costs, we reported an increase in core net income for the third quarter of 14% over the second quarter. Our core financial results continue to demonstrate the positive momentum we are building through our actions to drive net interest margin improvement over the past several quarters as well as our continued focus on asset quality and expense management. Through these results, many of our key financial metrics improved over last quarter. Of particular note, our core return on average assets for the third quarter was 95 basis points, our core return on average tangible equity was 12.94% and our efficiency ratio was 62.39%. Additionally, our tangible book value per share grew 5% in the third quarter. Certainly, one of the highlights for the third quarter of 2024 was our net interest margin expansion of 10 basis points to 2.46% on a linked quarter basis, beating our guidance provided on last quarter's call. Net interest margin expansion for the third quarter drove net interest income growth to 4% over the last quarter, highlighted by an expanding interest earning asset yield of 11 basis points and flat funding costs, maintaining at 2.35% between quarters. Non-interest income for the third quarter of 2024 totaled $11.4 million, an increase of 7% over the second quarter of this year. We saw strong residential mortgage activity in the third quarter throughout the summer months in our markets and we closed the third quarter with a strong residential mortgage pipeline. We continue to sell our eligible residential mortgage production. And for the third quarter we sold 64% of our residential mortgage production compared to 52% in the second quarter. Also contributing to the increase on a linked quarter basis was the increase in debit card income and back-to-back loan swap fees of $100,000 $133,000 respectively. Non-interest expenses for the third quarter of 2024 totaled $28.9 million, which included costs of $727 million associated with the recent announced planned merger with Northway Financial. As we continue to work our way through the anticipated acquisition and conversion date in the first quarter of 2025, we expect most of the estimated one time deal cost to be incurred over the next two quarters. Excluding these merger related costs, non-interest expenses for the third quarter were $28.2 million and increased 3% over the second quarter of 2024 as we continue to invest into our franchise. Strong revenue growth of 5% on a linked quarter basis drove our improvement in our quarterly efficiency ratio to 62.39% for the third quarter compared to 63.53% for the second quarter of 2024. We estimate operating expenses for the fourth quarter before any merger related costs will be in line with recent quarters. Now shifting to the balance sheet. Total assets of $5.7 billion as of September 30, 2024 were relatively unchanged on a linked quarter basis. Loan balances as of September 30th were $4.1 billion, a decrease of 1% compared to the second quarter of 2024 while investment balances increased 2% as lower interest rate provided relief to investment valuations and repurchased $26 million of securities. Total deposits as of September 30, 2024 were $4.6 billion, an increase of 1% compared to the second quarter as we saw the lift from normal seasonal inflows and continued success within our high yield savings deposit product, which increased another 8% this quarter and resulted in savings growth year-to-date of 16%. The credit quality of our loan portfolio continues to be very strong, supported by excellent credit quality metrics. On a linked quarter basis, we saw several key quality metrics improve at September 30th, including non-performing loans decreasing 6 basis points to 17 basis points to total loans, annualized quarterly net charge offs decreasing 1 basis point to 3 basis points of average loans and past due loans decreasing 2 basis points to 3 basis points of total loans. We maintained a loan loss reserve coverage ratio of 86 basis points of total loans at September 30th, consistent with the past two quarters. This reserve level continues to reflect our view on the strength of our loan portfolio but also provides sufficient reserves for the risk that continue to persist at a macro level. During the third quarter, we saw our capital levels grow at healthy levels across the board highlighted by our total risk based capital ratio expansion of 39 basis points to 14.85% and our TCE ratio increasing 35 basis points to 7.69% at September 30th. This concludes our comments. We will now open the call up for questions.
Operator: Thank you, Mike. We will now begin the question-and-answer session [Operator Instructions]. Our first question comes from Steve Moss with Raymond James.
Steve Moss: Maybe just starting here on the margin here. I'm curious with regard to the rate cuts we just had in September and probably a couple more coming. What are you guys seeing for deposit pricing here and kind of how do we think about that translate into the margin?
Mike Archer: I think, broadly, we see the back end of the year in line with the October net interest margin. We continue to be very, very disciplined in our pricing and demonstrated that over the last quarter when we saw the two rate cuts. We have two rate cuts in the ballpark for the back end of the year, which is pretty in line with expectations. And we'll continue to manage that very carefully as we look out towards the next couple of months.
Steve Moss: And in terms of just kind of the debt restructuring that occurred here or the pay down of the BTFP and the swap use, was that -- that was a, I'm assuming, you received variable pay fix or maybe I got my things reversed. But just talk about the structure there and kind of how that impacted your asset liability mix?
Mike Archer: So you're spot on. We did pay down the full remaining $170 million of the BTFP during the quarter. Essentially what we ended up doing is we went out and did some swaps there for the FHLB essentially and we're able to lower our rate from, I believe, it was 4.76% down to a weighted, I think, it was 4.09%. So immediately picking up positive carry there. But also, to your point from an interest rate risk perspective, our risk continues to be for rates higher for longer, certainly rates up. And so when we did that we also spread that out. We did a little bit longer there, went out 12 and 18 months, also knowing that the BTFP was going to fall off for us in January 2025. So try to be proactive there, position ourselves a little bit better for just the risk that our balance sheet presents.
Steve Moss: So between that, the positive trends you guys have seen just on loan yield improving nicely here last couple of quarters. Is it a similar pace of expansion for the upcoming quarter or do you guys stabilize in like the September month margin? Just kind of curious how to think about that.
Mike Archer: I mean, for our margin outlook for next quarter, Steve, we're kind of probably more in the, call it, 3 to 5 or 2 to 5 basis points somewhere in the neighborhood right around 250 plus or minus is kind of what we're thinking. I think we are certainly watching just in terms of what happens with the overall curve. Certainly, the more recent rebound there on the mid and long end of the curve was certainly helpful. But I think that's the other area of course as we expect the rates on short end to be down with the Fed funds cut, but I think it does matter as well of course on the mid and long end and how that reacts.
Steve Moss: And then in terms of hiring here, Simon, you mentioned, I think, two hires during the quarter, if I heard you correctly. Just curious, what kind of book of business are they bringing? And kind of how you're thinking about any additional hires?
Simon Griffiths: Yes, I think as we've discussed on previous calls, we continue to see really a nice opportunity on the south and southern end of our market and continue to invest in that -- those geographies. We've got, as I say, some nice momentum there. We have some nice momentum out in the New Hampshire market as well and just really continue to see opportunities to push into those markets. We see nice opportunities certainly in the multifamily housing area. We see strong C&I demand, particularly in the equipment space right now. But really it just continues to be, Steve, through that lens of quality. We definitely aren't chasing deals. We're looking for the right deal, right relationship and really pushing into those deep long term strategic relationships that are long term value for the client and long term value to Camden National.
Steve Moss: I mean, maybe just thinking about the investments you're making and the overall underlying business momentum you guys have, kind of think maybe on pace from what you call it 1% to 2% loan growth this year, but maybe stepping up kind of into next year?
Mike Archer: Yes, I think we're still seeing next year, Steve, 1% to 3% loan growth excluding Northway impact. So maybe a slight pickup. I mean, I think it's going to depend a lot on the rate environment. If the rate environment comes down obviously materially, we're certainly, I think, likely see a pickup in the resi volumes. Certainly, I think it's quite competitive out there right now. And I think there's that caution particularly with the election cycle coming up and I think focus sitting on the sidelines. But certainly, I think it could be a slight tick up from where we are right now but still modest loan growth overall, as I say, excluding Northway.
Operator: Our next question comes from Damon DelMonte with KBW.
Damon DelMonte: Just to kind of keep the discussion on loans here. During the quarter, it looks like C&I loans had come down a decent amount during the quarter. Was there some larger payoffs that happened there or what kind of was driving that?
Mike Archer: You're spot on. Just a few pay downs, primarily some of the syndication loans just as rates came down and few of those just refinanced. But nothing overall from a trend perspective just a few larger loans there.
Damon DelMonte: And I think the commentary on fee income in mortgage banking in particular was that the residential mortgage loan pipelines remained strong kind of at quarter end. So could we -- I know there's obviously seasonal factors with weather and whatnot within your footprint. So can we expect another strong quarter out of mortgage banking to close out the year or do you -- would you not expect it to be like as strong as this quarter?
Mike Archer: Yes, we're definitely seeing strong pipelines right now. We've got about $72 million in the resi pipeline and about 124 approved loans in the commercial pipeline. So we certainly see some nice momentum through year end. And yes, I think with certainly the rates coming down potentially another 50 basis points, I think you could certainly start to see that picking up into next year, but as I say, contingent probably in the rate environment for the -- to the degree of the momentum that we're seeing.
Damon DelMonte: And then lastly, I think, Mike, you may have touched on the expenses. But if you kind of take out the onetime merger charges, it kind of puts you in the $28.2 million range. Is that a decent starting point to kind of model going forward to close out '24 and kind of modest growth ex the Northway deal in '25?
Mike Archer: Yes, I think that's fair, Damon. I think we'll be right in that 28-ish kind of neighborhood, 28.2 is a pretty good spot right in the middle, could be a tick higher or closer to 28, but it's a pretty good spot.
Simon Griffiths: And I just would emphasize, Damon, that we continue to invest. And I think that's the nice part of the story here is, we really are self funding a lot of these investments. I talked earlier with Steve's question relative to the investment in the commercial and putting in some commercial folk down in the southern end of our market, and that's going to be really the focus. We've got this really exciting release of this online account opening capability. Again, we're really putting those investments into our customer experience, into great people and really continuing to build out the franchise, but managing the expenses in a really disciplined way.
Operator: Our next question comes from David Mirochnick with Stephens.
David Mirochnick: This is David Rauchnick on for Matt Breese. To start, I would just love to hear some thoughts and expectations around your loan and deposit betas kind of into 2025 through 2025, and whether you expect those figures to be fairly similar to what they were on the way up?
Mike Archer: I mean, I would just say for 2025, in particular, we're still working through some budgets. I mean, the reality is our betas are certainly going to depend on what the Fed does, maybe to state the obvious. We are liability sensitive. Our expectation is rates come down, margin will expand. I can assure you that's how we're thinking about it internally and certainly we'll think about it that way as well from a 2025 budget perspective. I think more near term, we do expect some Fed cuts here in the coming weeks months and we expect to see funding cost pull down and start to -- we believe we'll continue to see a level of margin expansion for the fourth quarter as well.
David Mirochnick: And then just staying on that, can you talk a little bit about, I guess, since the first 50 basis point cut, maybe actions you guys have taken so far, how customers responded and where you were successful? I know you kind of mentioned some adjustments in September and just if you had any more color there?
Simon Griffiths: I mean, I think we've certainly taken some actions. And I would just thought -- I'm sure Mike will build on this, but would just say, I think we're very disciplined, very thoughtful about the client relationships. We saw a nice build in deposits in the Q3. Obviously, some of that's underlying seasonality. But we're going to continue to obviously manage that very proactively and continue to be disciplined in terms of our pricing, but also putting relationships of our customers front and center.
Mike Archer: I would just add, I mean, ultimately we repriced, I think, right around 30% of our non-maturity deposit base. And we went in, I want to say, on a full 50 basis points. I mean, overall, we saw -- we monitored those customers. We've seen the balances grow into October. So we haven't seen any significant runoff. I think, to Simon's point is, as we move forward we'll certainly be thoughtful about that. And at the end of day we want to maintain those core customer relationships but just while managing funding costs down.
David Mirochnick: And last one from me is just on the securities. Can you talk about kind of security maturities coming up and maybe where you want that securities to asset ratio to kind of sit at or move to in the future?
Mike Archer: We have about $10 million or so of monthly run off on the investment portfolio. Ideally, we would be putting into loan growth. As we mentioned, there's some timing items and we did a small security purchase in the third quarter for the first time in a while, really just trying to put some assets to work there to try to [squeeze out] over the yield. Same thing I would just say to that point is keeping the weighted average life and the duration of what we've purchased pretty short to give us some flexibility as we move into the future as well. I think in terms of investments and assets ratio, historically, we've been in the 20% to 25%. I would say we're probably closer to 20%-ish now and we feel pretty good in that neighborhood. And we will continue to monitor. We certainly leverage our investment portfolio for liquidity purposes. And again, as commercial loan growth and other things pick up, we could see ourselves maybe going a tick down there but certainly feel good at that level.
Operator: Thank you. As we have no further questions, this concludes our question-and-answer session. I'd like to turn the conference back over to Simon Griffiths for any closing remarks.
Simon Griffiths: Thank you, Lydia. I want to thank you all for your time today and your interest in Camden National Corporation. We wish you all a great rest of your day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.